Operator: Good afternoon, ladies and gentlemen, and welcome to Eni's 2017 First Quarter Results Conference Call hosted by Massimo Mondazzi, Chief Financial Officer. For the duration of the call, you will be in listen-only mode. However, at the end of the call, you will have the opportunity to ask questions. I'm now handing you over to your host to begin today's conference. Thank you.
Massimo Mondazzi - Eni SpA: Good afternoon and welcome to the presentation of our first quarter 2017 results. In the first quarter, we continued to execute our long-term strategy, focused on upstream profitable growth and the strengthening of mid-downstream businesses. The main achievement this quarter were the following: in upstream, production growth 1.795 million boe per day, 6% higher than last year, adjusted for PSA effect and OPEC cuts. All key developments are on track, and we are close to start up production from Jangkrik in Indonesia and immediately after OCTP in Ghana, while Zohr is progressing ahead of schedule towards first gas by year-end. Kashagan ramp-up continues with 32,000 boe per day net to Eni in this quarter and more than 65,000 boe per day expected in the fourth quarter. In the mid-downstream, we recorded over €0.5 billion of adjusted EBIT due to a strong performance in Gas & Power, thanks to the successful execution of the turnaround, and positive result in the downstream sector, both in R&M and Chemical. Finally, our disposal plan is well advanced. On the basis of the two deals already announced, Area 4 in Mozambique and retail in Belgium, we expect to cash in this year pre-tax proceed of around €3 billion, over half of the lower end of the full-year plan disposal target. In addition, this year, we expect to cash in around €1 billion related to the closing of the Zohr farm-downs to BP, which has already been completed, and Rosneft, which is expected to complete in the second half of the year. And now, before detailing the quarterly result, I would like to give you some color on the market environment affecting our results. Trends were positive with slightly stronger oil and constant European gas prices and refining margins. In more detail, the average oil price were $54 per barrel, around 58% higher than the minimum of last year, following the OPEC cuts and the start of market rebalancing. Gas prices in Italy increased by 42% versus first quarter 2016, thanks to a 9% increase in overall gas demand that was driven mainly by the power and retail sectors. Refining margins remained stable, whilst Chemical margins, although up on the previous quarter due to shortages in U.S. and China, were lower than a year ago. Having said that, now, the review by business. Upstream production in the first quarter of 2017 consolidates the exit rate of last year of 1.856 million boe per day. We recorded an output of 1.795 million boe per day that is in line with the last quarter production if we take into account the impact of Goliat 40-day shutdown, the OPEC cuts that affected our production in Algeria and Venezuela, and PSA effects. Versus the first quarter of 2016, our adjusted growth is close to 6%. For 2017, we confirm a production rate of 1.840 million boe per day, thanks to the contribution of start-ups and ramp-ups in Egypt, Angola, Kazakhstan, and Norway and assuming that Val d'Agri shutdown lasts for no longer than 90 days. The good result in term of EBIT of €1.4 billion was any way affected compared with the first quarter 2016 by higher write-off in exploration for around €100 million. Upstream operating cash flow of around €2.3 billion is in line with the full-year guidance that we gave in the strategic plan. And now, a brief outlook on the key start-ups for 2017. In February, we started up Block 15/06 (4:45) five months ahead of schedule, and the overall block is now producing gross 100,000 boe per day, 34,000 boe per day net to Eni. All other main developments are also well advanced and close to reach first production. The Jangkrik floating unit is on site. Hook-up has been completed. Commissioning's ongoing, targeting an imminent start-up. The ramp-up will be very short and will deliver at plateau around 45,000 boe per day net to Eni. The OCTP FPSO arrived on site last month. Hook-up is ongoing to allow first oil within few weeks. This first phase of the OCTP project will deliver net to Eni 20,000 boe per day of oil at plateau and a farther 20,000 boe per day from gas phase will start in the first half of next year. Both developments anticipate the delivery of production versus the original plan. Also, Zohr is progressing faster, and we expect to start up within December. These three fields are expecting to deliver net to Eni volumes of 30,000 boe per day this year. In 2018, 150,000 boe per day with a cash contribution of €1.5 billion. As 2016 numbers are now filed for the whole industry, I would like to give you a brief comparative look on some of the upstream performance metrics. We continue to deliver amongst the lowest unit operating cost in the industry. In fact, we are deliver first quartile OpEx per boe for five years running. In the first quarter 2017, OpEx per barrel was just above $6 per barrel, continuing to be at the bottom of the sector. Equally important is capital efficiency as measured through the finding and development costs. Through a combination of our continued leadership in conventional exploration and focus on development efficiency and procurement at the bottom of the cycle, we have consistently added reserves cheaper than any other company. Rolling three-year finding and development cost average has been lowered down to $13 per barrel, while the industry moved up to an average of $33 per barrel. We believe that given the near FID project inventory and the exploration prospect that we have currently identified, we will be able to continue delivering organic finding and development (7:28) cost at the bottom of our peers' range. Eni's portfolio is competitive not only in term of cost but also in term of reserves value. Eni's proved reserves are worth $31 billion according to the PV10 analysis. This continue to be an outstanding result, considering that our barrels have the same absolute value of portfolios much larger than ours. In terms of unitary value, we rank third in the peer group, and this is notwithstanding the larger presence of undeveloped reserves in our portfolio, Eni, 43% of undeveloped reserves versus an average of 34% for the competitors, that generated by the recent additions and the long production plateau of these reserves that affect their discounted value. This is the result of our strategy to continue to invest throughout the cycle, growing the reserve base as confirmed at our life index. Since 2014, we kept Eni life index above 11 years, notwithstanding the growth production by 10%, whilst peers fell by two years. These figures prove that our reserves are really valuable and resilient in the long term. And now, let's move to mid-downstream. In this quarter, we delivered positive result in all our midstream segments. Gas & Power business confirmed the progress of the ongoing turnaround with an EBIT of €338 million, plus €53 million versus last year. This increase, even more remarkable if you consider the impact of lower retroactive effect for €56 million compared to 2016, is mainly driven by recent renegotiations, cost savings, and trading performance. This result consolidates the prospect for a structural breakeven of Gas & Power business in 2017. Refining & Marketing performance was in line versus last year despite the offsets in Sannazzaro. The improvement is related to optimization includes supply and good performance in wholesale market. In Refining, Venice and Gela plants' turnaround is proceeding, while the plants in operations succeeded to reduce the breakeven margin below $4 per barrel. Finally, Versalis, our chemical unit, that had a strong quarter, thanks to the lower downtime and production mix highly exposed to those products which benefited from good margins. This proves the capability Versalis had developed from its new portfolio configuration to capture market opportunities. Overall, in the quarter, the company generated €1.83 billion of EBIT, an improvement of €1.25 billion versus last year. This result is driven by the improved scenario that accounted for €1.35 billion and growth and efficiency action for €0.1 billion, net of negative impact of the unplanned Goliat shutdown, and the negative effect, the one-off in the OPEC cuts, for around €0.2 billion. We generated net profit of €744 million, the highest level in the last two-and-a-half years. The average tax rate in the quarter was 57%, a level that should increase to a full-year average of around 70%, reflecting the growing weight of upstream contribution to the overall results. Moving to cash. Our cash generation highlights the effectiveness of our strategic plan. Before changes in working capital and valuing stock at replacement cost, cash generation amount to €2.6 billion, an increase of over €1.1 billion compared to last year when oil and gas prices were lower. But if we compare cash generation in the first quarter 2015, which had a similar oil price but higher gas prices in Europe, higher LNG prices worldwide, and higher refining margins, we can see that increase is about €400 million proving the effect of mid-downstream turnaround and E&P (12:04) valuable growth. Cash flow from operation including working capital changes was around €2 billion this quarter or €2.2 billion if adjusted to neutralize the sale of mandatory oil stock accumulated in this quarter and sold early April. 2017 will be a year of strong cash recovery. In the last strategy presentation, we announced to reach an organic coverage of dividends at around $60 per barrel, and we continue to pursue that goal. In the first quarter, stock-adjusted cash flow from operation substantially covered CapEx assuming our post-disposal working interest in Mozambique and Zohr. The quarter's CapEx level reflected the effort to put into production two giant field by midyear and the strong effort on Zohr. In the coming quarters, we expect to generate higher cash flow from operation, thanks to the production growth coming from the plant start-up and ongoing ramp-ups and the seasonal contribution from mid-downstream. Investment will reduced that pace as major development are completed, and we confirm that 2017 CapEx will be below €8 billion, representing an 18% reduction versus 2016. Finally, we will cash in proceed from disposal of Zohr, Mozambique Area 4, and Belgium retail gas. Our 2017 dividend cash neutrality including disposal is around $45 per barrel. And now, together with the company's top management, we are ready to answer any question you may have.
Operator: Ladies and gentlemen, the Q&A session is now open. Thank you. First question comes from Mr. Clint, Oswald from Bernstein. Mr. Clint, please.
Massimo Mondazzi - Eni SpA: Hello?
Operator: Mr. Oswald?
Oswald Clint - Sanford C. Bernstein Ltd.: Thank you. Thank you. Massimo, hi. Thank you. Can I ask about Kashagan please? The 32,000 barrels of oil production this quarter, is there any way you can give us any indication of the cash flow contribution this quarter from that kind of chunk of oil production or at least the cost recovery percentage that you might be getting against that cash flow, please? And then secondly, I just wanted a little bit of an update on Cyprus. You're building quite a substantial acreage position there. I think there are some wells being drilled in the second half of the year. Can you just talk about the well program and also potentially maybe the prospect size that you're actually targeting there? Thank you.
Massimo Mondazzi - Eni SpA: So, Oswald, as far as the cash flow contribution from Kashagan, we don't release such a detail in our information, but you remember, we gave a guideline in terms of cash contribution when we presented the overall plan. We are still on this forecast, so nothing changed in this respect. And even the ramp-up is growing as planned, and we are projecting the full production as far as the first phase by the end of this year. As far as Cyprus, I will say Luca Bertelli could give you the answer.
Luca Bertelli - Eni SpA: Hello. Regarding Cyprus, we plan to start drilling campaign the last quarter 2017, drilling one well inside 2017, another well back to back. And we are shooting the seismic, so we have more clear idea about the size of the prospects in the second half of the year.
Oswald Clint - Sanford C. Bernstein Ltd.: Okay. Very good. Thank you.
Operator: Next question comes from Mr. Thomas Adolff from Credit Suisse UK. Mr. Adolff, please.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Good morning. Thanks. Two questions, please. Firstly, you tend to go into any given year with a good contingency buffer as far as upstream production is concerned. And then you quickly eat into it. And in recent years, this year and last year, these outages actually happened in regions where you think if you have maybe proper standards acceptable to the regulator, you wouldn't and shouldn't happen. But last year, you had a field called Nooros in Egypt that surprised on the upside to offset these unexpected losses in production but not in cash flow. And I wonder whether there's anything like Nooros that we're not aware of in your portfolio this year that can surprise on the upside. And then I have two smaller questions, one on the LNG contract you signed with Pakistan, which looks to have a progressive step-up in the slope. And I wondered whether you can talk about this progressive step-up (17:37) and why this offering. And then another very small question around – a little random but around the press report earlier today that talked about Eni looking to build a refinery in Nigeria, and I just wanted to double check with you whether that's accurate or whether that's just factually wrong. Thank you.
Massimo Mondazzi - Eni SpA: Okay. So, I give you the answer about the production then I'll let Massimo Mantovani to give you the answer about the LNG and maybe Antonio Vella to give you some color about Nigeria. So, as far as production, I understand what you said, but first of all, let me say that what we accounted for as far the first quarter in term of production, not very far from the guidance we gave in term of the plan because the plan already, as far as 2017, projected growth. So, just to give you an idea, the first quarter in our budget was 1.815 million boe per day, so the 1.795 million boe per day is not so far from that. And by definition, we had some accident including Goliat, but we have already some contingencies included in our projection. So, we had enough room to compensate significantly the accident that we have. Having said that, the new start-up and including Jangkrik and the ramp-up of the major project up to now is definitely confirmed. We are still retaining some contingency, and definitely, we have some potential upside in term of production that, I will say, are not completely represented in the number that we are disclosing. All in all, Thomas, we are confident to confirm the 1.840 million boe per day that we gave as indication. So, maybe certainly included in the positive contingency, we say Jangkrik and OCTP up to now are forecasted to start up some days in advance versus the expectation we have when we performed the (20:10). Maybe Roberto Casula could, at the end of this, I will say, the answer could elaborate, giving you some more detail about the two projects, but this is the sense of what I'm saying. So, I give the floor to Massimo Mantovani to give you the answer about LNG.
Massimo Mantovani - Eni SpA: Hi. This is Massimo. The offer we made for Pakistan is obviously, first of all, consistent with our portfolio for LNG which we have that includes also Jangkrik. And you are quite correct, we do have a sort of progressive offer which we made in respect of pricing for the first years. It is consistent with the analysis we made always on the portfolio. And overall, obviously, the offer we made as an average is well below the five-year tender that they awarded recently.
Antonio Vella - Eni SpA: Okay. Concerning Nigeria, I would like to recall that Eni have signed in January 2017 an MoU with the minister of oil in Nigeria where several item has been tackled on the relationship between Eni and ministry and NIPC. Within the items, we agree to support NIPC and the ministry to study an upgrading of Port Harcourt refinery and the study are ongoing. But meanwhile, we have been requested to add additional studies to identify new locations eventually between Brass and Port Harcourt to evaluate an additional expansion while the upgrading of the existing refinery is going to be implemented. This is what I can clarify to you on the discussion that happened yesterday.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Okay. That's great. And Eni would take a stake in this expansion?
Antonio Vella - Eni SpA: First of all, we have to conclude our feasibility, and then the issue of stake I think is going to come later for sure.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: Okay. Great. Thank you very much.
Antonio Vella - Eni SpA: Thanks.
Massimo Mondazzi - Eni SpA: And maybe Roberto Casula could give you some additional color about the three major project ongoing this year.
Roberto Casula - Eni SpA: Thank you, Massimo. Well, I'll start from Jangkrik in Indonesia, which is now very close to start-up. The floating production unit is on location. We are just completing the (23:00) cap of the subsea wells. We already drilled and complete all wells envisaged in the project. As a good news, we were able to save some money in terms of overall CapEx in addition to increased reserves. Remember that the production is 450 million standard cubic feet per day. Similar case for OCTP project, in Ghana, all wells have been drilled. We continue the completion of the first wells to start up production, again, expected really shortly. FPSO is already on location. Everything is progressing in advance compared to the plans we had. In both cases, we can talk about one to two months of anticipation for these two projects. Then Zohr, Zohr, all the offshore activities are ongoing. We almost completed the laying activities for the pipes. The platform, the control platform, as you probably remember, will be installed by June and will be ready in September. Onshore, all activities are progressing both for the start-up and the ramp-up, therefore we confirm, as Massimo already said, the start-up of Zohr by December.
Thomas Adolff - Credit Suisse Securities (Europe) Ltd.: That is great. Thank you.
Operator: Next question comes from Mr. Biraj Borkhataria from RBC. Mr. Borkhataria, please.
Biraj Borkhataria - RBC Europe Ltd.: Hi. Thanks for taking my question. I had a few. So, first one was on the divestments you've agreed. Your release today states that 50% of the proceeds from the BP deal will be paid in installments, and I was wondering if you could just talk us through when the rest of the proceeds are to be received and also whether this is the paying structure as for the Rosneft portion and with Mozambique. The second question is on the production guidance. Obviously, with production a little bit low you've eaten into the contingency, but also in the release, you state that there's some initiatives of production optimization which are not included in the initial plans. I was wondering if you could talk about those initiatives and why they weren't necessary included in the plans at the start of the year. And then just finally, going back to the final slide on slide 11, you've got the cash flow plus disposals figure, and I just wanted to clarify -- was I right in hearing you said you're expecting €3 billion in proceeds to be cashed in this year and if I take that off, is that a fair reflection of your underlying cash flow generation for this year? Thank you.
Massimo Mondazzi - Eni SpA: Okay. So, I give you the answer about divestment, and I leave the floor to Antonio Vella to give you additional detail on the production and production guidance. So, in term of divestment with reference to the Zohr divestment, yes, payment would be through installment, and expected cash in 2017 is €1 billion that represent more or less 65% of the overall price. And the bulk of the remaining 35%, the largest part of the remaining 35% would be cashed in in 2018. And the remaining few money to be cashed in will be in 2019. And in term of overall cash in, making reference to the latest slide, we said that we expect to cash in a net of €2.7 billion out of Mozambique net of tax. Probably you know because it has been reported by the press that we got the agreement about the tax treatment of the gain in Mozambique that is in the range of €300 million. So, the net will be €2.7 billion plus the overall €1 billion that we will cash in from Zohr, so the overall amount is €3.7 billion expected to be cashed in in 2017. So, I'll leave the floor to Antonio to answer your question about production.
Antonio Vella - Eni SpA: Okay. Thank you, Massimo. So, the production optimization is an allocation of CapEx within our budget. But the contribution expected in 2017 budget was 50,000 barrels. Definitely, this allocation of wells is moving in different circumstances. For example, Nidoco, as it was mentioned, some of you mentioned Nooros. Nooros has performed much, much better than any expectation. And we are continuing drilling wells of more or less 5 million cubic meter a day and while we are improving our expenses in wells which are not compliant with the breakeven that we request. So, the 50,000-barrel plus will be confirmed. Meanwhile, we have only anticipation of Jangkrik, East Hub, and OCTP that will help contribute additional production to make robust our 1.840 million boe per day. Thank you.
Biraj Borkhataria - RBC Europe Ltd.: Great. Thanks.
Operator: Next question comes from Mr. Josh Stone from Barclays. Mr. Stone, please.
Joshua Stone - Barclays Capital Securities Ltd.: Hi. Good afternoon. Could I have two questions, please? Firstly on Gas & Power, a very strong performance in 1Q, appears to be running ahead of the 2017-2018 guidance. So, I wonder if you could talk a little bit about the (29:408) on the drivers of that performance. Perhaps (29:41) from costs. And then how sustainable you think that is for the rest of the next 18 months or so? And then secondly, on Mexico, the recent discovery there, can you just update us how discussion is going with the government and how soon you think you'll be able to start up production? Thank you.
Massimo Mondazzi - Eni SpA: Okay. Massimo Mantovani will give you the answer about Gas & Power and Antonio about Mexico.
Massimo Mantovani - Eni SpA: Okay. For Gas & Power, the guidance we gave respect in particular is in relation of the gas negotiation which are ongoing. They're on a positive track. We already managed to close some of them and are still discussing on others. The positive result of this negotiation I think are underlined from, as Massimo said, the operating profit results of quarter one as compared to quarter one 2016, €50 million more, but in particular, if you take away the retroactive effect in both quarters, then you do have in this quarter in 2017, an increase of the operating profit of €100 million. That is mostly coming from gas renegotiation and also some trading activities. There is a portion of trading. In particular, of course, we optimized some trading activities in January in respect of the high price for the weather.
Massimo Mondazzi - Eni SpA: Okay. Just to clarify, the advantage from gas renegotiation that Massimo mentioned relate to a previous negotiation that happened in 2016. So, this is the normalized benefit of this negotiation that we are benefiting from now on, so this is a stable contribution. So, we are not talking about the benefit retroactive effect of renegotiation that happened this year, so this is a quite positive result that Massimo remember amount to €100 million if we take this retroactive effect out of the calculation. And then Antonio...
Antonio Vella - Eni SpA: Okay. So, Mexico, the results are very positive. We are discussing with the authority, recently, a visit with our COO for an early production implementation. However, we are going to drill additional three wells into 2017, and then immediately after, we will proceed with a plan of development at least for Amoco early production. Thank you.
Joshua Stone - Barclays Capital Securities Ltd.: Very clear. Thank you.
Operator: Next question comes from Mr. Iain Reid from Macquarie. Mr. Reid, please?
Iain Reid - Macquarie Capital (Europe) Ltd.: Yeah. Hi. Two questions, please, one on the Gas business again and then one on asset side. Just on the Gas, now you're at a kind of more normalized level of profitability, is it possible to give us a sensitivity of the overall earnings in the business to European and Italian gas prices? So, presumably when those prices rise a bit, your profits will fall somewhat given that you're a net price taker in that business. Also a question on asset sale, you obviously completed some of the big ones now. I'm just wondering if you can give us some indications generally, obviously, not talking about specific assets, about where the next wave of your asset disposal program is coming from to meet your longer-term target? Thanks a lot.
Massimo Mondazzi - Eni SpA: Okay. So, in term of Gas, no, I confirm that now the result are much more stable, but it's difficult to identify the sales sensitivity because the nature of different businesses inside is so different, and I will say the fact that we are not related directly to specific I will say a price (33:59) but we work – take into account the differential between different (34:05) whatever, so it really is difficult. So, I'm not able now and probably even in the future to give you as we do talking about the E&P production and sensitivity. As far as the disposal, so certainly, as I said, we are quite ahead if compared to the targets we gave performing the four-year plan. We are working on additional divestment on the same wave of disposal that we already achieved, so mainly targeting from one side this so-called (34:50). So, we still retain significant discovery already achieved, retain with a very high interest that could be subject to dilution. First of all, I would like to mention West Africa among these. But other asset are retained from 80% to 100%. For example, Mexico is retained to take 100%. Cyprus, very high stake. And even new prospects going to be drilled in 2017 are retained with very high percentages. So, definitely, this would be a source of additional disposition looking forward as well as some other minor assets even in business other than E&P mainly targeting logisting (35:43) and other asset. They are no more focused on our strategy.
Iain Reid - Macquarie Capital (Europe) Ltd.: Okay. Thanks.
Operator: Next question comes from Mr. Hamish Clegg from Bank of America. Mr. Clegg, please.
Hamish Clegg - Bank of America Merrill Lynch: Good afternoon. Thanks for taking my questions. Just a couple. First of all, just wondering if you could clarify that slide on where you talked about dividend cash neutrality at $45 per barrel. That looks very much like it's sort of including your disposals for this year and is that very much for just this year because it's not quite the same as the $60 neutrality you talked about? And my second question is regarding gas volumes as part of the mix. One of the things I noticed in your results is a big uptick in gas volumes has basically offset some of the down movement in oil. Is this something that we're going to see reverse in the mix in terms of percentage of your volumes coming from gas in the coming quarters?
Massimo Mondazzi - Eni SpA: Okay. I'll give you the answer to your first question. So, the aim of the last slide was just to say that as far as 2017, we are seeing two major themes: first of all, that we are confirming the guidance to cover CapEx and dividend at $60 per barrel organically; and second that definitely, we will leverage on a significant amount of cash in from disposal. I mentioned €3.7 billion. That will allow us to drop from 60% to around 45% at year-end. So, no more than that. This is the message we would like to pass to you through this slide. Gas volume and production mix, okay. Certainly, targeting the overall production of 1.840 million boe per day average in 2017. We will have some reduction in oil, and we will have some increase in gas. So, we are talking about more or less 2 percentage points in term of growth of gas versus decline in oil. This percentage has been a little bit higher in the fourth quarter because of the stop of Goliat. So, the difference in the first quarter has been higher, but with the recovery of Goliat, notwithstanding the shutdown of Val d'Agri, we expect that this difference will be much less, it would be reduced, as I said, as a nearly (38:36) average.
Hamish Clegg - Bank of America Merrill Lynch: Okay. That's great. I just had one follow-on question actually because I don't know about everyone else, but I was very pleased to see you guiding or reporting cash flow on a pre-working capital replacement cost basis. It makes our lives a lot easier. Could you confirm that your full-year cash flow guidance that you gave year-on-year is – whether or not that's also on a pre-working capital replacement cost basis as well to be in line with what you told us this quarter?
Massimo Mondazzi - Eni SpA: So, the guidance that we are giving now probably will be, I would say, repeated from now on. The guidance we gave performing the full-year plan was the guidance, the cash flow from operation including working capital. What I could say that we do not expect significant changes in working capital all along this year. So, at the end of the story, at year-end, as an average, the two number would be very, very close.
Hamish Clegg - Bank of America Merrill Lynch: That's clear. Thanks so much.
Operator: Next question comes from Mr. Jon Rigby from UBS. Mr. Rigby, please.
Jon Rigby - UBS Ltd.: Hi. Thank you. Two quick ones. The first, can you just update on the EST plant and where you are on bringing that back into service and maybe some kind of estimates if it had any economic effect on your earnings in the first quarter? And the second just to come back to a piece of guidance, I think I heard Massimo refer to in the opening remarks about tax rates. I think you said that you expect the tax rate to move towards 70% for the full year or for the remainder of the year. I mean, that will be significantly ahead of both the corporate and the upstream tax rate in the last couple of quarters. And I just wonder whether you could maybe sort of articulate further what the moving parts are to move us back towards whether it's a significantly higher tax rate than we've seen in the last six months. Is that possible? Thank you.
Massimo Mondazzi - Eni SpA: Okay. I'll try to do my best to answer your question about the EST plant. So, EST plant, the refurbishing is ongoing. The overall amount of CapEx to be injected is in the range of €200 million, I will say, covered by the insurance except for the retention that is quite limited. And we expect to have EST plant back in production by the end of 2018. Yes, definitely, we are suffering a loss of EBIT because of the stop that is in the range of, for example, this quarter, €50 million. So, it, from one side, is definitely is a pity. On the other side, we show how strong is the recovery in term of efficiency in our refinery plant, our refinery system that is I said reached a breakeven below $4 per barrel. That is including the negative effect of the EST plant stop. So, this just to give you the major values. As far as tax rate, yes, definitely, I confirm the 70%. Why 70% as an average? Because as far as the Italian contribution to EBITDA, that opposed to the lower tax rate in our portfolio, it reached the maximum in the first quarter and then decline mainly reference to the Gas & Power business. While the upstream is expected to increase and that upstream is carrying a very much higher tax rate. Why 70% versus a tax rate that has been much higher in the past? Because, as you explain and try to explain even in the past, at this level, 70% is the, I will say, the average of tax rate. It was much higher before because when we are exposed to much lower oil prices, the amount of undeductible cost, I will say, exploration, the structural costs are so significant that the tax rate resulting from this equation is much higher, in some cases, even more than 100%. But tax rate with $55 would be in the range of 70%, and we said that targeting the four-year plan while we expect, I would say, Brent price growing up to $70 per barrel, we expect a slight decrease, in tax rate in the range of 60%.
Jon Rigby - UBS Ltd.: Massimo, can I just follow up on that? I mean, the oil price for 4Q and 1Q is low to mid-$50s. And the upstream tax rates and not even the corporate tax rates, the upstream tax rate was less than 60% in both those quarters. Why would the upstream move so significantly upwards over the balance of this year?
Massimo Mondazzi - Eni SpA: I didn't comment on this because, let's say, it's a minor issue, but I will say the normalized E&P tax rate has been in both quarters in the range of 60%, has been reported a bit less than 60% because we had some, I will say, unrepeatable income in both quarter that caused this slight decrease below 60%. But we are talking about for a quarter three-four point percentage in the tax rate of E&P.
Jon Rigby - UBS Ltd.: Okay. Thank you.
Operator: Next question comes from Mr. Michele Della Vigna from Goldman Sachs. Mr. Della Vigna, please.
Michele Della Vigna - Goldman Sachs International: Massimo, thank you taking my questions. Two, if I may. The first one -- could you give us a bit more visibility on what drove the operating working capital outflow in the quarter and whether you expect it to fully reverse by the end of the year? And then secondly, given the cost deflation we're seeing broader in the industry, could you tell us which projects you are ready to FID in the next 12 months? Thank you.
Massimo Mondazzi - Eni SpA: Okay, Michele. I'll give you the answer about the working capital. I'll leave the floor to Roberto to answer your question about the market cost and inflation. So, about the working capital, so you have seen that we absorbed, as far as the working capital, cash amounting €0.9 billion. So, the explanation talking about the major issue is the following. So, €0.2 billion is a difference in factoring. So, we discounted less receivable than we did in fourth quarter 2016, but we say is a movement that definitely will be recovered in full year. So, we do not expect any difference on this respect. As far as €0.2 billion, as I mentioned during my speech, we – better, the refining and marketing business bought some stock of oil in the first three months to be sold to the Italian organization that take care of the mandatory stock at the system level. And this disposal happened formally at the beginning of April. So, we incur the cost in the first quarter, and we cashed in the disposal, if I remember well, the 5th of April. So, as far as an additional €200 million is something that has been already been recovered. As far as €300 million is just the stock revaluation driven by this scenario that the effect are replacement cost that neutralize the price effect from €2.9 billion to €2.6 billion cash flow in the quarter. And as far €0.2 billion, it's just a seasonal dynamic of our working capital mainly related to the Gas & Power business and partially to the Refining & Marketing. So, the majority is very specific for this quarter, and we definitely expect that every negative effect accounted in the first quarter would be fully recovered by year-end. So, as far as the inflation, I'll leave the floor to Roberto.
Roberto Casula - Eni SpA: Okay. Thanks, Massimo. Well, as you certainly remember, we had an intense activity of contract renegotiation during the past couple of years. From what we see today, well, for instance, drilling units, we think that they reached a level just sufficient now to cover operating and depreciation costs, so difficult to see further signs of cost deflation. About equipment umblican (48:21) line pipe, all these items are mainly driven by raw material costs which have increased, in particular, the steel. So, the decrease compared to the prices we had three years ago now has been partially offset. And about installation vessels, EPC contract, well, in this case, the price is mainly driven by the workload of the service companies. There are no much project around the world. So, for a certain period of time, the prices will continue to be low, and then we will see when the activities will restart. About FID, we have this year, first of all, by the end of 2017, the FID of Argo and Cassiopeia, which is a gas development offshore Sicily. Then we have a couple of FID in Egypt in the area of Nidoco and Baltim. I have to mention also that in a couple of weeks, there will be the launching ceremony for Coral South Floating LNG. Next year, we do see Johan Castberg in Norway. But between 2017 and 2018, we have also a number of projects under maturation. And I'm referring to deepwater Nigeria, I'm referring to Indonesia, Merakes, which we tie in to Jangkrik, Congo, and as already Antonio said, Mexico.
Michele Della Vigna - Goldman Sachs International: Thank you.
Operator: Next question comes from. Mr. Massimo Bonisoli from Equita. Mr. Bonisoli, please.
Massimo Bonisoli - Equita SIM SpA: Thank you and good afternoon, gentlemen. A couple of questions left, one on asset sales again. Earlier, you mentioned €3.7 billion proceeds from disposal in upstream from October 2017. Will you have any contribution from the disposal of the retail gas and power in Belgium over this year? And one question on Val d'Agri. Could you give us an update on Val d'Agri and when do you expect to restart production there? Earlier, you mentioned 90 days off assumption in your guidance if I got it correct.
Massimo Mondazzi - Eni SpA: Okay. So, Massimo, the €3.7 billion I just mentioned does not include the price we are going to collect anyway in 2017 from the disposal of the retail Belgium business. Because of the agreement with a counterparty, we didn't disclose the number. So, I cannot give you the number that -- of around this, I will say, very close to the reality, but I can't give you the right number now. And I leave the floor to Antonio about Val d'Agri.
Antonio Vella - Eni SpA: Okay. So, in Val d'Agri, we are currently refurbishing the tank, which has been already completed. And we are currently sandblasting and painting. So, the availability for us to start up is between end of May, early June, providing all the necessary authorization by the competent authorities is going to come. So, this is the situation as of now.
Massimo Bonisoli - Equita SIM SpA: Very clear. Thank you.
Operator: Next question comes from Mr. Marc Kofler from Jefferies. Mr. Kofler, please.
Marc Kofler - Jefferies International Ltd.: Hi, everyone. Thanks for taking my questions. I just wanted to come back to the capital spending guidance for this year and the context of the run rate in Q1, Massimo. Even if you adjust for asset sales, it looks a little bit high versus the annual guidance, so could you talk about how the capital spending trajectory is expected to evolve over the course of 2017? And then secondly, just maybe on to Venezuela in the upstream. Could you talk about operationally how you're finding the situation there? And then any comments around receiving payments and sort of taking cash out of the country and the measures that you've taken to aid that process. Thanks very much.
Massimo Mondazzi - Eni SpA: Sorry. I didn't get clearly your first question. Could you repeat, please?
Marc Kofler - Jefferies International Ltd.: I was just asking about the run rate on the capital spending, Q1 versus the full-year guidance?
Massimo Mondazzi - Eni SpA: Okay. So, as far as the capital spending, as I said, we confirm the guidance that (53:50), so slightly less than €8 billion as overall. So, again, what we spent in the first quarter. So, the €2.47 billion adjusted for the quote that will be reimbursed in Zohr, mainly in Zohr and in Mozambique too. As we get the closure of the deal, it's something I will say higher than the average debt is more or less in the range of €2 billion per quarter. And as far as payment, as I well understood, payment from critical countries around the world, probably Venezuela is in your mind. So, situation in Venezuela is the following. We are still definitely producing in normal status from Perla. And activity in (54:54) five are stopped because of two reasons. First of all, because the environmental situation in term of prices and second because of the OPEC cuts. And we intend to resume production only if there will be the condition to do so. As far as the cash in from the gas sales from Perla, the cash in, I would say, is quite normal. The issue, if I could say, is related to the outstanding that we have even at the beginning of this year that you remember is in the range of €300 million. So, this outstanding is growing a little bit but is, I will say, under control and we are not deeply worried about this. So, this is the situation. Any production from first phase in Perla is going ahead. Any kind of additional investment in Venezuela will be incurred only if there would be all the condition necessary to do so including the recovery of the existing outstanding. Situation in other countries, in Iran, we are going to recover any outstanding that we have and we will (56:16) in 2017. We don't have outstanding in Iraq at this moment. And this is the situation. So, there are no significant outstanding that I'm worried about . Definitely, the level of activity in Egypt is so high that the money that we expect from Egypt is ongoing, looking forward, is an element of attention.
Marc Kofler - Jefferies International Ltd.: Great. Thank you.
Operator: The last question comes from Ms. Irene Himona from SG. Ms. Himona, please.
Irene Himona - Société Générale SA (UK): Thank you. Good afternoon. I have three questions, please. Firstly, going back to tax, Massimo, that is the cash tax rate. In Q1, it was around 27.5%. Should we expect that to increase over the rest of the year, this year, in line in other words with the P&L? Secondly, if I can go back to Mexico, you're drilling the second well. You're talking about early production start-up. I mean, can you talk about your current estimate of the resource size that you are looking at? And my third question, just a quick one on DD&A. It was €1.8 billion in Q1, flat year-on-year. I mean, for the full year 2017, Massimo, should we expect a higher level of DD&A versus last year? Thank you.
Massimo Mondazzi - Eni SpA: Okay. So, Irene, as far as the cash tax rate in the full year, we expect something in the range of 25%-27%. In terms of DD&A, yes, DD&A has been a little bit depressed in the first quarter because of the stop of Goliat, and we expect full-year DD&A slightly higher than the DD&A we recorded in the first quarter. As far as the resources in Mexico, I'll give the floor to Luca.
Luca Bertelli - Eni SpA: Hello. As you understand, we are drilling. So, what I can say is that the results for the first well were pretty positive. And also, we have encouraging results from the well we are drilling now. So, we further see an upside to the original reserve estimate, but of course, we are working for a proper assessment.
Irene Himona - Société Générale SA (UK): Thank you very much.
Massimo Mondazzi - Eni SpA: Okay. So, thank you, all. Bye-bye. See you soon.